Operator: All participants please standby, your meeting is ready to begin. Please be advised that this conference call is being recorded. Good day and welcome to the North West Company Inc Second Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Edward Kennedy, President and Chief Executive Officer. Mr. Kennedy, please go ahead.
Edward Kennedy: Good morning and welcome to our second quarter conference call. Joining me this morning are John King, our Chief Financial Officer and Amanda Sutton, who is our VP, Legal and Corporate Secretary. Before I get into the call, I will ask Amanda to read our disclaimer transcript.
Amanda Sutton: Thank you, Edward. Before we begin, I remind you that certain information presented today may constitute forward-looking statements. Such statements reflect North West’s current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and are subject to certain risks, which could cause actual performance and financial results in the future to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please see North West’s Annual Information Form and its MD&A under the heading Risk Factors. Edward?
Edward Kennedy: Thanks, Amanda. I will go through the key points in the quarter and then as usual open the call for our questions. A lot of what happened in the second quarter was similar to the first in the sense that we have got two very distinct stories in our business on the better performance side. Our core Northern businesses had another strong quarter. Our comps were between the 3.5%, 5% range through general merchandise in the north and as we have said before, I have commented on the – the general economic conditions are favorable for us and that includes Alaska, which had a strong fishing season. And as we head into the PFD which is expected to be equal to last year’s, we are certainly optimistic that whether it’s Northern Canada with infrastructure spending, mining activity, we should be going for sales, managing the business on the margin side with the expenses controlled, but really in a get sales mode and that’s where we look at things. And with the work that we are doing in different areas, it seems to be paying off. And then longer term, we continue to build our business in other ways. If I skip down to the Caribbean, there is a really market by market story there, because of distinct nature of the economies, but also the competitive situations. Overall, we call our CUL or Cost-U-Less competitive strategy, which focuses on signature categories, everything from fresh, produce and meat all the way into baby and actually liquor. These have all been strong drivers for us. And although, CUL came a little short of plan they were up nicely to last year as was our business in the British Virgin Islands. If there is a soft spot in Cost-U-Less, it was on the Pacific side, a little bit in Fiji and in American Samoa. So when we step back and look at the business and our remote retailing strength and how it’s been brought to market, we are generally pleased. There is always room for improvement, but we like the way the trend is going. Before talking about Giant Tiger, I just want to about costs, what we refer to as non-store costs, the margin, operating margin gains above LY for all of our banners ex-Giant Tiger, are before admin. We have talked about – I am not sure what the right term is anymore whether they are unusual or one-time or restructuring, but as we behind the scenes change our business so that we can run it more localized and put more authority closer to the regions that we do business in, there has been a cost attached to that. And we have disclosed and talked about the relocation of our office, store support office in Seattle, actually back up to Anchorage and then creating an office in Florida. That’s being going along fine from the pacing of it and the staffing. There is a few key roles we still need to fill, but it’s also involved the relocation and some people not in the business that were in the business before, so between relocation and termination. Some of those costs are still back into Canada. There have been some changes in Canada as well. And perhaps, we should have been clearer on that at the last quarter that where those costs would be incurred and a little higher than we might have thought in June as well, they are not out of control, but there is the timing factor there. So certainly, that was a – I think we had talked – we talked about it in the MD&A and the press release, $3.5 million is the range of those kinds of costs that were incurred. So, some of that will carry forward. We are going to have some more of that cost cleaned up in Q3 and then we will be stable as far as it goes with our regional approach to the business and the office relocations to Anchorage and Florida. So now to Giant Tiger, Giant Tiger clearly underperformed again. It was a drag for us. If I break it down, I would say that weak seasonal performance hurt us and that’s kind of the stir that mixes the drink in the sense it is, you need to have seasonal sales driving margin dollars. We have some very strong comps against us in May which were tough to beat. June was very, very poor. But otherwise that would be our prime selling season and then July, we had great weather and there was markdown season. But behind the – beneath the surface there we have had to take a hard look at how we are running the stores. We actually have made a management change this week on the leadership side of Giant Tiger and the operationalization of, call it, the Giant Tiger system and how we can be better at that and also lean into Giant Tiger to support us. You have heard some of these things before allowed us block and tackle at store level. We don’t fundamentally believe that the Giant Tiger is a store concept, it’s fatally flawed. It doesn’t mean it’s the only way those stores can be run as Giant Tiger’s, but it is something that we are not giving up on at all that way. We just know that whatever we do, whatever the stores are, they have to be well executed and we think we dropped the ball there and the change we have made at the leadership level isn’t the be-all and the end-all. We all own this and have to come up with better execution. So specifically to seasonal, a lot of it has to do with our markdown management, our ordering. There are some things that back up a bit before I go on, indirect effects of China shipping rates with the tariff crunch avoidance and some delays there. But back in our, what we can control, it’s the day-to-day work we take on with our fashion managers on the floor, our store managers and the field support to make sure we are ordering the right mix, we are getting behind the key items that will drive the business. We are not shy on that. Sometimes when you are not a franchise, you can be shy. There is no excuse though. We have done very, very well with this model in the past and can get back to some of the basics on how that can work for us now and in the future. And that carries forward to the other parts of the hard goods and soft goods part of the business. It’s not just seasonal window coverage, it’s a huge business at Giant Tiger across Canada and we need to get our share. There is no reason we can’t, but we have to commit to the space and the quantification that will drive that business. So these are all things that sometimes easier said than done. The individual that’s coming into run the division for us did run the division for over 10 years during a much more profitable growing phase. And we believe he is the right fit for getting back at some of these disciplines that will drive our bottom line – or protect our bottom line, but also protect our market share. On the food side, so the other half of the business, much lower margin, it’s been at risk for a while. I think at this point that we have over-managed the business by trying a lot of different things that impacted margin and have not driven the traffic to the extent that they were expected to. In this case, food has to be stabilized in terms of shrink, some of the things again that we have tried have cost us. Our fresh meat has – we over-invested in that program, put it into all of the stores and we have paid a price in the first half of our promotional strategies were are also costly. So we are pulling back on that and again trying to just realizing that food still has a very important traffic-driving role, but not trying to get more out of it than it deserves and making sure that our focus on the hard goods and soft goods side of the business is where it needs to be. From a timing standpoint, although you heard me say this in June and I am disappointed that I got it wrong, of course, that I couldn’t – I would not have forecasted this topic or – that we just had and I am not forecasting that for Q3 as we model this out and we look at our comps from last year, which were very bad. We don’t see that kind of a drag, the magnitude of the drag on the performance that we had. And just to remind investors, I mean, Giant Tiger, there is a number of things with North West. I commented at our Annual Meeting that it wasn’t core in terms of our competencies and you can draw all kinds of conclusions from that except that it puts it in a tougher situation in terms of focus and we have to delegate that focus, we have to lean into GT and their expertise and not assume that we have it, because there is enough going on in the life of North West to build up proprietary expertise there vis-à-vis what we are paying Giant Tiger for. But it still is something that in the totality and I will talk about that in the back end of the business, the buying volume it creates for us the distribution efficiencies that is material in terms of being a benefit. So we like the volume. We obviously wanted to be more profitable. The delta on that, decline in profitability has been painful for us in terms of overall results, but we also take a long-term view. We hope our investors do as well. We know we have a very solid business. We have got fantastic we think locations with our stores. We have built them out very thoughtfully in Western Canada. We have got good store teams and we think it’s that collection of stores, locations is still very, very valuable. And then again it drives efficiencies in the rest of our business, which are sometimes hard to attain given the wide breadth of how we operate. So, we certainly don’t take that for granted. We have put the right amount of value against that in terms of protecting it. So, that’s where Giant Tiger sits. It’s a focus and without being a total distraction from the other very attractive upsides we have in our business. And I think we have the right balance in place and we are going to keep our foot down on performance improvements. And when I look at Q3, Q4, I see us with much more upside vis-à-vis the first two quarters of the year in terms of Giant Tiger performance. So, that’s the comment that I will make right now on GT and of course be fully prepared to answer any questions you have. There weren’t a lot of other focus highlights. We opened our 45th Giant Tiger store in North Battleford. I will just point out that we are continuing to be optimistic and positive about our more northern and rural Giant Tiger locations and this would be one of those. We have another one opening in Meadow Lake, Saskatchewan, which we think will be very successful as a hub for North and Central Saskatchewan coming up in Q4. I think with that, with those comments, operator, I will now open the call for questions.
Operator: Thank you. [Operator Instructions] We will hear from your first caller. Please go ahead.
Matt Bank: Hey, it’s Matt Bank at CIBC. Can you hear me?
Edward Kennedy: Good morning, Matt.
Matt Bank: Hey, good morning. I guess I wanted to start talking about the insurance commentary you had in your outlook. So, we already knew that it costs $4 million more this year, but you suggested that maybe costs could rise further. Could you just talk a bit more about how you see insurance cost playing out in future years? And is there a chance that you could lose insurance on certain assets that are currently insured and how all that would look?
John King: Sure. I will take that, Matt. Yes, as I have put in the – or as we have put in the outlook there we are seeing increasing pressures on insurance both from a premium perspective and a reduction in capacity and writing insurance. And if you look at what’s happened with – just recently with Hurricane Dorian, for example and the devastation that has happened insurance companies are cutting back on how much insurance they are going to be writing in those regions, particularly the Caribbean. So that in and of itself, I think is going to put more pressure on premiums as well the losses coming out of not only Hurricane Dorian, but go back to Irma and Maria, etcetera. So I do see continued pressure on insurance premiums, how much that will be going forward is not known yet. We have locked in most of our insurance premiums for the year. We do have some policies that renewed late Q2 and some that will renew in Q3. So we will get a little bit more visibility in Q3 on that piece of it, but I do see premiums. They are not going down, that’s for sure. It’s a question of how much they go up. So that’s point one. Point two, I think it’s important to focus on or mention what we can control in our business and we are very focused on loss control. We have talked about in the report increasing the resiliency of our stores in the Caribbean to a Category 5 hurricane level. In Northern Canada, we have conducted loss mitigation audits from a fire risk perspective and making changes there. So, everything that we can do to control and reduce the risk of loss, that’s what we are doing, but there is some global conditions here in insurance that are continuing to be at play.
Matt Bank: Okay. And in terms of the capital investment on your end, is there an estimate you could provide in terms of annual CapEx or anything like that in terms of weatherproofing your assets?
Edward Kennedy: The amount of the program – maybe John you can comment how much we spent this year and what we are forecasting next year for that. It’s not significant, but it’s a few million dollars.
John King: Yes. It would be – like the hurricane resiliency piece is this year and that once we do that then that will be behind us. It’s about CAD 3 million on that piece of it. Ongoing in Canada we would expect that CapEx to run around $2 million to $3 million in terms of Northern Canada and I think that work will continue on certainly through this year and into next year as well.
Matt Bank: Okay. And then I want to shift to Giant Tiger, I guess first is, are you still playing with the strategy in the store model in Giant tiger or with the new leader, are you getting towards a point where you are looking to execute on the plan?
Edward Kennedy: The plan is being focused on for quite – for about two quarters already and is simple. The main parts of it is gap closing like type stores and Giant Tiger East that we think are – should be the ones that we chase in terms of the performance and execution. So, we breakdown where there is a gap it could be by a class, department, the category. It could do with margin rate or sales per store and then we get further into the details of why we are falling short on what should be a comparable performance. That’s been going on. What we are not happy with is the focus on execution at store level. And the way we are structured on this we have a President of Canadian Retail with two divisions, Northern Canada Retail and Giant Tiger essentially and his time has been pulled more into GT and then of course working with the Giant Tiger team. The leadership change we have made is at the VP of the Giant Tiger team level and that individual, again, as I have mentioned has a lot of familiarity with the Giant Tiger division, hasn’t been directly engaged in it for some time. So we have given him the accountability to get this plan fully executed, but also to step back a little bit, we don’t want to do a complete step back, because we think we know what we are supposed to be doing here. But he is the first and that’s walking the stores all the time or will be. And through his eyes, we want to make sure that we haven’t missed anything. So I think inevitably, there are going to be a few small tweaks to where we focus, but it’s not like take 3 months and figure this out that we have targets to hit on a daily basis in some things and he understands that. So I think it will be 80% we are doing already better and 20% if we find some new ideas, we are going to be open to those.
Matt Bank: Okay. And when you think about the improvement in Q3 and Q4, is that more about just lopping the easier comparables or do you expect the execution to improve in the near term?
Edward Kennedy: Yes. I think I will expect it to improve. The factor is what’s our confidence level near-term, alright, medium and long, I know these store assets, I am going to call them that or the Giant Tiger part for a second have lots of potential, financial potential. Short-term, quarter-by-quarter, I can’t ignore the lapping part. It’s very defensive, but it’s just downside mitigation that it’s just the financial fact, I guess that we are – you start to balance along the bottom more or less. So, that’s behind us. That’s there on the forecast side, but we have learnt and everybody has gotten more tuned in and experienced on how to manage this who are directly involved. And putting the President of Canada Retail, who he has lapped 1 year in his role and although there is lots of upside in Northern Canada, he knows that the GT has as well. So he has had to learn and adjust our EVP of Food who plays a key role in all this. She was new to the business and there has been some learning adjustments there. And I think that’s part of our situation is that we have had some new people enrolled and they are very, very capable, but they are still new to the situation. So I think that learning gets accelerated and mistakes get fixed quicker and we get dialed in faster. So that gives me more confidence on execution improvement in Q3, but based on what’s just happened in Q2, I am cautious and – so there is the shock absorbers, just the weak comps that we are cycling through in terms of downside protection. The upside, I am still waiting to see this cash flow over. We build momentum on our store execution and we start to see this turnaround and pickup improve store-by-store. So, I won’t say that yet. I haven’t seen enough of it.
Matt Bank: Thank you.
Operator: [Operator Instructions] We will move to the next caller in the queue. Please go ahead.
Michael Van Aelst: Hi, I just wanted to start by following up on a few strategic things. So just to clarify, for Q3 and Q4, in Giant Tiger, you are saying that, yes, the comps are so easy that you should and least be able to do as well as last year, but you are just not sure how well – how much improvement you can get at this stage?
Edward Kennedy: That would be our going in position on Q3 and Q4, yes.
Michael Van Aelst: Right. And sorry, the management change, who is running Giant Tiger now and what was he...
Edward Kennedy: His name is Scott McKay. And he joined us last – or early 2000s. He has been away from North West for 2 or 3 years, moved to our international division. He was – after he ran Giant Tiger for about 10 years and was also VP of Merchandising in Canada and in our international division.
Michael Van Aelst: He was outside the company for the last few years and is coming back in?
Edward Kennedy: Yes.
Michael Van Aelst: Alright. And you talked about markdown management issues at Giant Tiger, can you explain a little bit more about exactly what the issues were?
Edward Kennedy: Yes. I mean, it’s more aggressive markdowns coming out of June with the weather and having slow traction. I think we have sized that up as being an overcorrection. And I think there is – part of this led to our change on the team. I think the team was getting skittish on being long on merchandise coming out of the winter and not wanting to be long again going into fall. They certainly aren’t bad and then overcorrecting.
Michael Van Aelst: Okay. So I guess with the management, is it the management change that you think is going to help correct that or is it other initiatives being implemented?
Edward Kennedy: Well, beneath the management change are the initiatives and it’s – and we think are the right ones. So we had as an example for the better part of the day with the Giant Tiger executive team that’s accountable for buying and merchandising. So, we sat down with them 2 weeks ago and planned – and looked at where these gaps are. Most of them were known to us, but just being very, very dialed in on that. So that plan has been worked. Part of it is prioritization too and that was my earlier comment about focusing on soft goods and hard goods and not, I would say over-managing food, not trying to be too aggressive with food promotionally and putting too much emphasis on categories that are riskier like fresh meat, shifting the manager’s attention, making sure that it’s on soft goods and hard goods on the floor of the store and just totally buying into that. So that’s a softer thing, of course. But then within the soft goods and hard goods has been very, very focused on which areas of the business we want to make a difference on. Sometimes I feel like we could swing a cat and it could hit something that we could improve and you can actually, but it’s something that is bigger than others. So, it’s that kind of focus. And I think when you have the negative comps and it hurts the business overall, people can start – careful they are not running around with their heads chopped off and try to do 10 different things half well. So of course, that’s on everyone, including myself just to make sure that’s a steady hand approach. And again, I mean in the translation of what I am saying now to one of our stores in Winnipeg this morning, there is a lot of people between that and one of the key drivers or translators is the VP role that actually runs the division. So, we want to make sure we have total confidence in that person’s ability to put the plans in place and we weren’t there for different reasons until this week actually.
Michael Van Aelst: So when you talk about poor assortment management, that’s what you are talking about in terms of your mix between food and GM and the hard and soft goods categories?
Edward Kennedy: Yes. It’s where you – what your display face into, it’s where you put your dollars for inventory, it’s your commitment to programs that when you track GT’s success and it’s not that they have success everywhere, but you have got to take advantage of the information that goes with the franchise model and really, really work that hard and it’s a discipline. There is also – you got to be thinking like an owner. I mean that’s another thing that from day one we know these stores are corporate stores that GT has a strong franchise model. They also run corporate stores. We have got to make sure that we have the enterprising mentality in our stores. And we are not – again we are not just directing people to do things, we have strong suggestions, but we also want them to be free to do what they need to do. So part of it is also checking to make sure that we have got, I think we have very, very strong people, but have we kept their education, sort of their training upped on these different areas of the business. So, the next week, they will be in Ottawa, for the mangers/owners meetings and again it’s a chance to catch up on better practices, but we have to do a deeper dive to make sure that our managers understand what the drivers are. And again, that’s the part of Scott’s job beginning this week.
Michael Van Aelst: Okay. And kind of outside of Giant Tiger, in your strategy commentary, you talked about moving more authority in the business closer to the different banners or regions, communities, but in the past, you have also had trouble attracting and keeping strong local management in some of these remote regions?
Edward Kennedy: Right.
Michael Van Aelst: Now, are you not concerned that moving too much authority into these areas is going to – if you don’t have the right people in place or are you just comfortable now that you have the right people?
Edward Kennedy: Well, if you were a fly on the wall, John and I would take that, but if you have heard that discussion and John may want to simplify the business further and not give us much authority, not to put him on the spot, but I come from the other side, but absolutely, no, I would not put the authority in where the capabilities doesn’t exist yet. So, it’s a walk and chew gum kind of thing where we know we have got stores that have that capability and stability, so let’s double down on their, I use that word, authority, but let them drive more of their – pull more of the merchandise into the store instead of us trying to push it from the Central. Where the store doesn’t have the capability yet, because of turnover and maybe you can fit for role, then we’re looking to push that authority down to the regional level so empower the sales manager for that region or that group of stores to make some of those calls for the stores. The way we see it, at least, they’re closer to the action than the buyer who is – I still haven’t seen yet the software template that localizes the way we want to. So we know we have to get you in the incentives just to keep – we look at the stores that have the capability and that’s our number one priority. You have heard me say that for the Northern business, anyways. And I think we’re fine with Dan McConnell, who is the President of International. He’s recognizing – it wasn’t his first priority, but he’s trying to operationalize his competitive strategy in CUL and really push that localization into Alaska. It’s becoming his – he’s finding the right individuals that will come into Alaska that will be part of our team, super-entrepreneurial. And what we’re finding is the retail background is increasingly less important than the enterprising mindset. And the – just the driver that would say, I’m really happy being in this kind of a setting, a little bit – it’s – obviously, we’re off the beaten track for some people, even when we look that way, but certainly encourage in where we do business. So really find those folks that like that, kind of work and can thrive in it. And we have many, many that do so and we know what it looks like. But no, we’re not going to squish out, we’re not going to localize buying decisions or quantification decisions where we don’t have the people yet in place to do it well. So it’s going to be a hybrid approach.
Michael Van Aelst: I will now let someone else jump in get back in the queue. Thank you.
Operator: [Operator Instructions] We’ll move to the next caller. Please state your name and the company.
Stephen MacLeod: It’s Stephen MacLeod from BMO. Morning I just wanted to follow up on the Giant Tiger. And I’m sorry if you’ve already – I’m sorry if you’ve covered this in the last, sort of, questions. But can you just talk a little bit – one thing I was always interested in is, in your prepared remarks, you talked about over-managing the food side of the business and it hasn’t really driven traffic. Can you just talk a little bit about how you are approaching the food side of the Giant Tiger business to drive traffic higher and potentially move away from it?
Edward Kennedy: Well, I think, we’re recognizing that half the basket don’t have food in them at all and the crossover is there. But it’s – in terms of who puts soft goods in a basket as well as picks up a produce or a cereal, it’s not – it’s a meaningful percentage, but it’s not enough that you should just be completely fixated by that. So our – my point here is that when you tweak something, when you just say that – we have – we took all the fresh meat out of the stores. In fact, the decision was made for us 2 years ago by the supplier, because they decided to supply China, maybe not the best move now. But the – so then we’re scrambling. We have no supplier – because we have no supplier for case-ready meat, so then we find one a year later. Meanwhile, we’ve lived with resetting those 12-foot cases, 8-foot cases with a different offering. And now we’re feeling gee, we want to have our – shoppers needs meat in their baskets. We need – but we’re not a full shop. I think that’s the other aspect we got to keep reminding ourselves. Obviously, we have limited space that we’ve dedicated to food, means that we’re not the only place they’re going to go for food. Can we be the first place they go? Aspirationally, yes. But realistically, we’re – people are going to come means we’ve got great food deals and we’re reliably in-stock, it was used to being in Stockton in North to the Giant Tiger stores which are basically located. And our prices are right at a discount level vis-à-vis the other discounters in the market. When you get past that, so, for example, in the meat, you put the meat all – now you go back to meat, because you’ve got a supplier and you remember why meat wasn’t so great. It’s the ordering, the shrink both the – shrinking out from a staff standpoint and the waste and spoilage. These kinds of items in our stores are just going to go slight tangent given where our stores are located are highly problematic from the staff standpoint. And we’ve had a number – a very large spike. We’ve had to invest in different safety and security measures, not just because of the fresh meat, it just – part of it is because of the meth usage in cities like Winnipeg and Saskatoon some of our downtown stores. But – I mean, said all that, my point to this is trying to do too much in a very small space for food, trying to replicate too much of a full supermarket and not playing to your strengths. Again, the strengths would be great prices, convenient locations, consistently in-stock, solid promotions, but not too cute in terms of couponing and multi-buys and then move to the rest of your store and do that really well, because there is a lot of gold to mine on the hard goods and soft goods sides of the store. So by over managing, that’s what I mean. I don’t want to say much more about that, because you just can’t leave it alone. It won’t run itself. But I think we’re recognizing that we want to be able to protect our food margin, be price competitive in the market, but spend our time on the selling floor. And if you put more fraction to your store by the way, then, of course, that brings more management. So we had a produce initiative. It was okay. We drove some good produce comps, but we weren’t seeing the basket fill up on this side of the store, where there’s more money being made in the produce, is not the – a margin play that it would be in a supermarket, because we only have the best sellers. So it helped against the lower base. But, I think, again, it took a lot of management time to make that produce work well. And we have to be very, very honest about whether it was a limited time on the managers day or they should be getting their sales. So without – I could go on with a few more examples, as this is pretty granular, I know, but you – just to give you a flavor of how that shift might look going forward.
Stephen MacLeod: Okay. That’s really helpful. So would you expect then that you would be moving away from fresh meat and more to…
Edward Kennedy: We’re looking at de-skewing the stores that are – some stores will get out of it, but some will be de-skewed in terms of higher shrink items and certain cuts that just aren’t carrying their weight. So simplify it further, making that call store-by-store. On the produce side, it’s about saying, "Okay, are we – how much labor can we put into this department? Can we make it simpler? And maybe, we are being too – or the bargain side is too high given the labor we have to put into it and the attention it requires from the store manager. So it’s – some of these things, you just don’t – you don’t go to the other side of the ditch, but it’s – it literally comes down to how many hours of the manager’s time is involved in this and then looking to take a hard, hard look at shrink, because that’s another point that’s been really disappointing as the shrink that we’ve taken in food. We should not have done that. I mean, there’s some risk you’ve got to take. But if I look at it cumulatively, at our year-to-date shrink, it’s just unacceptable. So if I go and find where the culprits are, they were all walking around in the produce and the meat department.
Stephen MacLeod: Okay, that’s helpful. Thank you.
Operator: We’ll move to the next caller in the queue. Please go ahead.
Michael Van Aelst: It’s Van Aelst. Again few more questions. So are you going to quantify at all, like, how much of an impact the markdowns at Giant Tiger had on EBITDA?
Edward Kennedy: I don’t think I want to break out the variances inside of the Giant Tiger. I mean it’s – we don’t do it in totality, never mind within, but we’ve highlighted the key factors that affected performance at Giant Tiger. And then it’s – in aggregate, it affected our overall performance, but I won’t – I don’t want to get into each of these.
Michael Van Aelst: Alright. St. Thomas, is that store still on schedule to open in Q4?
Edward Kennedy: Yes. I think it’s November – I’m not really sure whether we’ve announced it in the market. I don’t think we have, but it’s opening in Q4. Opening in early Q4, put it that way.
Michael Van Aelst: And then you talk about, also in the strategy section, about optimizing your air cargo capabilities. So what’s left to do now that you’ve got a lot of the stuff going to Harriston here and you guys have capacity up?
Edward Kennedy: Sure. I’ll just take a couple of minutes on that. I think, the – there’s a lot to do as it turns out. We’ve – we keep turning over ideas and one is the, I’ve talked before, it’s more seamless integration where plane-ready pallets go right on the plane, right off the plane. We’re looking at – I would just say, without – because some of the stuff is quite innovative and we don’t want to talk about it that way specifically, but a big factor for us is optimizing the weight on the plane. And it’s just – the point we’d say is that when it’s a third-party carrier, the weight is not their problem, it’s your problem, they charge by it. And the collaboration to optimize is not – there is no unnatural incentive for that because you pay and the – but they charge you and you’re figuring out stuff from a different lens. So we’ve just had this hammered home through the airline actually, and they’ve got very strong people letting us know how this works. And we’ve got some ideas that we’re working on, that I think are innovative. They could have a major impact. I’d like to talk more about them, as we roll them out. I think that what we’re doing is completely lined up with building a superior air cargo capability. And I’ll just stay on this point that no one is doing this in Northern Canada, while Cargojet, of course, is a pretty successful cargo airline in the South. In Alaska, you do see dedicated cargo carriers, some are multimodal, like Lynden Transport, is air, road and water. And it’s just the power of focus that we’re starting to take advantage of. So I apologize for being general, but I don’t want to be more specific for almost competitive reasons. The other point I want to make, it was not your question, but I think, I better – I want to bring it up and that is that as we look at air cargo and the size of our business, so we’ve moved over to Northwest 100% of the cargo in Northwest, Ontario, Manitoba and regions of Nunavut with the exception of just some communities in Baffin Island. We used a Cargojet plane to fly freight from Winnipeg to Iqaluit as well, which is a big road for us. So now, here we are, and now we’re – your question was about optimization. Scale is another factor on our minds, and it was always there. And we talked about further phasing and what I’m describing about cargo growth is now third-party cargo growth, but there’s another point to this. We had a plane and we didn’t – it wasn’t material. But I’m going to – so last year, we had some account situation with the ATRs and trying to figure out how to move from a third-party maintenance to an in-house capacity, dealing with all that disruption. This year, we had a plane that had an emergency landing in a lake, not an ATR, one of the Baslers. That plane is actually out of the lake, toed back to the airport and down in Wisconsin at the Basler factory, getting retrofitted. It should be back in the air within 30 days. But it is out of the air. It was in the water for a few weeks, for 4 months. So what, well, we’ve covered off the fleet, covered that off, the quarter was pretty good, but it’s tenuous in the sense that if we had another plane issue, it’s not a big fleet. So bigger is better for efficiency or redundancy risk mitigation and for growth, because we see the north is very, very active for cargo needs, both sealift cargo and air. So we’re exploring different ways to grow the cargo business for all of those reasons. It’s not a dire situation in terms of, are we just upside down on our fleet size, but seeing how this plays out, and I – and by the way, the efficiency improvements that I’ve – didn’t get into detail on, are really important, because if you think about weight and the number of – likes it cuts in – it improves the efficiency of the planes, so you can use fundamentally less aircraft. But if an aircraft is down, that’s just a risk that we’ve got to be able to model out and make sure that we’ve got capacity to cover it off. And again, and that – against that backdrop is that there aren’t a lot of planes just hanging around that you can call up. But it used to be like that according to the very experienced folks who run an airline, but it’s not as easy today. So you better have some of your own equipment then you can reposition and make sure it’s there to carry the North West freight or wherever your customers are to live up to your standards of performance. So that’s also something that we’re looking at in the airline. Now, you can say, what is that from a forecast standpoint? It may have some capital investment implications, but it would be for the right reasons to grow the business. This is not defensive, like, what I’m talking about is to grow profitably, but also in a way that reduces the risk of your current size. And we’re having those discussions. We’re planning that with the team. It’s all part of the long-range plan anyways that we would go to third-party customers and add capacity, but having seen now just over a year of some risk that did us, some that could’ve, I am more convinced than ever that we need to be bigger for all those reasons.
Michael Van Aelst: Okay. I saw that the Amazon made an investment in Cargojet, so does this – do you see this getting Amazon into Northern Canada in a more efficient way? And will they become a competitor, again, in some of these markets?
Edward Kennedy: I don’t think so. I think the Iqaluit road today where money is being lost by someone in buckets through the Amazon prime membership, there’s probably millions of freight dollars being absorbed by someone, I mean, Amazon [indiscernible], I don’t know, who exactly. That model won’t be replicated across the rest of the Northern Canada. The Iqaluit is a bit exceptional, because it has frequency that is justified by the size of the market. When you get in the smaller markets, frequency does drop off, but we’re doing twice-a-week service. We think that’s sufficient – sorry sufficient and efficient. And you can over service the community and it will be tough economically, and doesn’t really – and isn’t sustainable. So when you get into the size of communities we serve, and you move to an e-com model and, believe me, as you would expect, we’re always modeling this. If we don’t – it’s not like we have dealers who don’t want e-com, we’ll do whatever the customers’ need that works for them, but the frequency part comes up again and again. There’s only so much you can do on a frequency basis, and then there’s the perish ability of the product when it gets to the community, where is it going to go next, etcetera. So there is challenges to the model and then it bucks up against the way our customers actually shop. And psycho-graphically, when you look at that who shops e-com, it’s not our customer. So our goal is to drive down costs. And we don’t want to – it’s not that we’re not tied to legacy bricks and mortar we want to lean out our bricks and mortar as much as possible and get our costs continually down still with the margins that we need to get a return, but grow our share in the North. And keep testing and modeling with the customer, like, will they forward-buy, will they pantry load, if their homes are tight, overcrowded actually, where does the food going to go? And if you don’t have the economic capacity to forward-buy it, then our job is to get you the best deal through the bricks and mortar or some combination of it. So I think the – we are watching what’s going on with Amazon and never take them for granted. But you can overreact to this, too. So we want to be the best. And I think the other way is to look at this, if you look at the value chain of North West, and I tried to get into a bit of the AGM and so your plan, buy, move and sell, the retail value chain, we have been increasingly breaking it down within plan, buy, move and sell. The sell, we feel we have to continue to own, although we could model different compensation and quasi-ownership franchise models with our stores I talked about decentralization, localization, but we – that’s, that’s IT, that’s competitive advantage for North West. On the move, the outbound move, you’ve heard that before, that is the vertical investment in United States, that’s a very important differentiator. There’s a lot of spend in that part of the value chain that you can scale relative to anybody else, actually. When you get to the inbound in the distribution, that’s scalable that we – that’s a scale that we can achieve to get to an efficient DC, the amount of volume you need to get to automation, robotics and in the inbound side containers from China, that’s not where we are going to – that’s very outsource able for us with the right partner. So you go through it. Then you go to the plan and buy. On the plan side, obviously, we should know what people are buying and want to live with in the North. That’s unique lifestyle needs. But broad trend, i.e. bicycles, we’ve got to buy it from someone else. So our goal on the, what I call, broad trend buying is to get together with somebody, whether it’s Giant Tiger, Canadian Tire, Home Hardware. Today, we use some distributors. Our goal is to talk to essentially non-competing retailers and try to strike the right arrangement on the pure buy side, because we’ll never match the scale. We could localize it into the right communities in the right quantities. So we take apart each of those parts of our value chain. We’re looking at what do we do ourselves, what’s down the road do we partner with others on and certainly, the air cargo was one that we want to do ourselves.
Michael Van Aelst: And just one last, hopefully, short question, I think in the last quarter conference call, you hinted that you are looking to get a better deal with Giant Tiger East. I’m not sure if I misunderstood you or not. But can – if that’s the case, can you give us any update on that?
Edward Kennedy: Yes. I don’t – I am sure I didn’t say better deal just like that. But the point there is to have good discussions with Giant Tiger that lead to something or go a different direction. And I alluded to Giant Tiger’s got some very good assortments that could work in the North. There were other retailers that we could – we can take their mix into the North, including – and the Caribbean actually. So it’s trying to actually lean into GT in the way that we’re paying the royalties for, as they support our business, that they want us to win, not just collecting the royalties, of course. But they have a very strong stake, I think, in the brand and what’s being developed in Western Canada and what can still be developed. So it’s just having a very good connection with them. They’ve – and it’s been okay, I mean, we now have a new President at Giant Tiger, as of August 1, and we’ve had some good discussions. So I’m hoping that we can get more action plans in place. We’re not the only thing they deal, of course, they’ve got other markets in Canada, but it’s more optimizing the relationship for both sides. And we both have scale that we can share potentially. These are the things that we’re exploring and we will see where that goes. But it’s – that’s, kind of, the waterfront of our discussions right now.
Michael Van Aelst: Thank you.
Operator: At this time, there are no additional callers in the queue. I’d like to turn the conference back over to Mr. Kennedy for any additional or closing comments.
Edward Kennedy: I don’t have any additional comments. I appreciate all the questions, and if there’s follow-up, of course, as usual, please contact either myself or John, directly. And we’ll do our best to answer your follow-on questions. Thanks very much, and we’ll look forward to being on the call with you in December for Q3. Thanks.